Operator: Greetings and welcome to the Hudson Pacific Properties, Inc. Third Quarter 2020 Earnings Conference Call.  It is now my pleasure to introduce your host, Laura Campbell, Senior VP of Investor Relations and Marketing. Thank you. You may begin.
Laura Campbell: Thank you, operator. Good morning everyone and welcome to Hudson Pacific Properties third quarter 2020 earnings call. Yesterday, our press release and supplemental were filed on an 8-K with the SEC. Both are available on the Investors section of our website hudsonpacificproperties.com. An audio webcast of this call will also be available for replay by phone over the next week and on the Investors section of our website. During this call, we will discuss non-GAAP financial measures, which are reconciled to our GAAP financial results in our press release and supplemental. We will also be making forward-looking statements based on our current expectations. These statements are subject to risks and uncertainties discussed in our SEC filings, including various ongoing developments regarding the COVID-19 pandemic. Actual events could cause our results to differ materially from these forward-looking statements which we undertake no duty to update. Moreover, today, weâve added certain disclosures, specifically in response to the SECâs direction on special disclosure of changes in our business prompted by COVID-19. We do not expect to maintain this level of disclosure when normal business operations resume. With that, Iâd like to welcome Victor Coleman, our Chairman and CEO; Mark Lammas, our President; Alex Vouvalides, our COO and CIO; and Harout Diramerian, our CFO. Note they will be joined by other senior management during the Q&A portion of our call. Victor?
Victor Coleman: Thank you, Laura. Hello, all. Welcome to our third quarter 2020 call. I hope you are all healthy and well. Iâm pleased to report that weâve had a very safe and very productive third quarter. Our outstanding Hudson Pacific team, which throughout the pandemic has brought tremendous talent and expertise to every aspect of our business, continues to successfully navigate this complex environment. As an essential business weâve had 100% of our workforce back in the office since Labor Day on a routine schedule with all the necessary precautions and some fantastic speedy gather again and productive. There is no doubt that we, like others in our markets, have been impacted by the extended shutdowns in California and Washington which have tampered the recovery weâve seen accelerate in other parts of the country. Regardless, our buildings are fully operational with industry-leading health and safety protocols in place. Our tenants are paying rent, our office and studio assets are well leased, our leasing activity is starting to accelerate and our rent spreads were made at pre-covered levels. Our development pipeline is on time and on budget and weâve got ample capital augmented by premier, well-aligned JV partners to operate and invest. The bottom line is weâre still poised to make visionary type strategic moves that consistently reinforce our position as one of the most creative dynamic players in our industry. We are, however, starting to see some positive signs throughout our markets. Last week San Francisco allowed nonessential offices to open, albeit at a 25% capacity. Los Angeles schools can now welcome back 25% of high-need students and this includes younger leaners, which in turn helps working parents return to the office. And physical occupancy at our office properties across our markets has reached about 15%, which was slightly higher in the U.S. â sorry slightly lower in the U.S. and slightly higher in Canada. Weâre in constant dialog with all of our tenants and clients. We know that despite bold statements regarding work from home and seemingly far-out return to the office states, particularly by tech companies, most are simply on hold to figure out how, not whether, to use their space. Should cities open sooner than anticipated, weâd not be surprised to see CEOs accelerate at least a partial return to work. Further, the media has really focused on permanent work from home shifts when the reality is many companies, most recently Microsoft, are simply making moves toward a more flexible schedule. For example, working one out of four or two out of five days a week at home. Our office tenant base is made up of the worldâs most creative, innovative companies that build their businesses, their competitive edge around culture, creativity, collaboration and our work environments that are so dynamic that theyâre exponentially better than being at home. And then there are types of work that you simply canât do at home. Security infrastructure, for example, are major issues for tech companies. If you have ever to our Element LA campus in West Los Angeles, it perfectly exemplifies all these aspects. This is the type of office space we provide throughout our entire portfolio. As for our studios, despite some delays getting content producers, guilds and unions in the same page about health protocols, production recommenced in the late August on 10 of our stages and weâre expecting to have 34 out of 35 stages active by next month. Clients currently utilizing the stages include a whoâs who of major media, CBS, Fox, Netflix, Disney, ABC and HBO and to date weâve experienced no further shutdowns. Given the pent-up content spend in production, particularly the non-feature film single camera episodic dramas perfect for screaming for which all our stages are ideal, we anticipate demand to remain extremely robust. The bottom line is we believe tech and media will lead this recovery. Digital has only accelerated during this pandemic. Itâs bringing major VC investment at cyber security and the cloud, e-commerce, healthcare, business services, fintech and ed-tech. At $38 billion third quarter 2020 was the third highest quarter for U.S. VC investment in a decade, surpassed only by the second quarter 2020, also during the pandemic and the fourth quarter of 2018. Software companies still dominate allocations. Money has flowed to pharma and biotech, but itâs a fraction. 2020 is shaping up to be a good year also for first-time venture financing and the money keeps coming. Fundraising has also â has already surpassed 2019 levels at $56 billion and so far making 2020 the second highest year ever. Also in the third quarter pent-up demand for unicorn led to near record U.S. IPO activities in terms of valuation. And these trends are expected to continue and are extremely positive for tech and the resiliency of office demand across all of our markets. At this point we also had firsthand knowledge of the incredible pent-up demand for streaming content. Netflix, Amazon, Apple+, Hulu, Disney+ and HBO Max had tens of millions of new subscriptions this year. Now 80% of US consumers subscribe to at least one streaming service. Nearly a quarter of them have also streamed a first-run movie with 90% likely to do it again. Nearly half have participated in some sort of gaming activity as well. These tickets are even higher for Gen Z and millennials. Even pre-COVID these six streaming companies I mentioned intended to spend approximately $35 billion on content for 2020. So, the demand for backlog for stages and support space is huge in the near term. In the mid to longer term, it bodes incredibly well for Los Angeles studio and office space at large as the productions in gaming companies continue to grow. Before I turn the call over to Mark, Iâd like to highlight our Corporate Responsibility initiatives. As most of you know, in May, we launched our industry-leading ESG platform Better Blueprint. The pandemicâs challenges have only increased the value and importance of making bold moves across three focus areas, sustainability, health and equity and weâve done just that. On the heels of rolling out our new diversity, equity and inclusion programs adopting Fitwelâs Viral Response Module and directing significant charitable giving to populations most impacted by the current levels weâve achieved 100% carbon-neutral operations, garnering the recognition of the World Green Building Council as one of the first major real estate organizations to do so. We originally anticipated achieving this milestone in 2025. But given the increased energy associated with COVID-19 health and safety measures, we moved quickly and creatively to get this done now. Our solutions eliminate all Scope 1 and 2 GHG emissions by leveraging our energy efficient portfolio, the use of onsite renewables and a combination of renewable energy certificate and carbon offsets. But weâve got a lot more to do. Weâre pursuing additional on-site renewables and innovative technology solutions to reduce further operational carbon. Weâre also working to reduce our Scope 3 GHG emissions from non-operational carbon, specifically building materials. So, as I said, much more to come and we will continue to lead the industry on this and other related fronts. With that Iâm going to turn it over to Mark.
Mark Lammas: Thanks, Victor. As you noted, our tenants continued to pay rent. We collected 97% of total third quarter rents comprised of 98% of office rents, 100% of studio rents and 52% of our retail rent. To date in October weâve collected 94% of total rent comprised of 96% of office rent, 98% of studio rent and 51% of retail rent. These percentages exclude rents contractually deferred or abated in accordance with COVID-19 lease amendment. If we included those amounts, our third quarter collections would have been 96% for total rent, 98% for office, 98% for studio and 48% for retail. Our October collections would be 95% of total rent, 96% for office, 99% for studio and 52% for retail. During the third quarter we deferred approximately $3.1 million or 1.8% of total rent. Another approximately $3.1 million or 1.9% remains in discussion for either payment or deferral. We abated only $1.1 million or approximately 0.7% of third quarter rents in connection with COVID-19 relief. Our success with collections is a testament to our high-quality office tenants and studio clients, which include many of todayâs most innovative and creative growth companies. Over 90% of our office ABR is attributable to publicly traded or mature privately held companies in business 10 years or more. Only 3% of our office ABR is attributable to companies in business less than five years and each of these 53 companies contribute on average only 0.05% of our office ABR. So any risk from younger companies is well diversified. Among our top 50 tenants, which collectively generate about 60% of our office ABR, nearly 75% of that ABR is derived from publicly traded and nearly 55% is from large cap and/or credit rated companies. Beyond tenant quality, we believe other attributes make it less likely our tenants will give back space in the near to mid-term. There is no doubt that smaller office and retail tenants have struggled the most during the pandemic, but weâve always focused on larger credit tenants and longer-term leases. Today our average lease size is over 15,000 square feet with the remaining term of five years. Further we specialize in creative, flexible workspace which means our tenants operate at very high densities pre-pandemic typically around 150 square feet to 180 square feet per person. So even if a company decides to keep a portion of its work force from home longer, we expect the physical distancing and lower density requirement in the range of 230 square feet to 250 square feet per person will buoy both demand for and occupancy at our properties. Finally, we own and operate a premier portfolio. Through industry leading development and redevelopment and strategic capital investments, weâve always focused on providing the most modern, safest, healthiest workspace in the market. We have a young portfolio. Our average effective building age is 16 years. We own predominantly low to mid-rise product which is eight stories on average, reducing the need for elevator access. Nearly 85% of our portfolio has functional outdoor space, including patios, courtyards, elevated and rooftop decks. And essentially all of our properties have state-of-the-art HVAC systems, including MERV 13 air filters or higher. Before turning the call over to Alex, Iâll provide a brief update on the various ballot measures this year and potentially impact to our business. States and cities across the country are facing rising deficits resulting from the pandemic and Washington and California are no exception. As a result this election season weâre facing several proposed tax increases. Prop 15, if passed, would be the largest property tax increase in California history with major implications for large and small businesses alike, and ultimately, as this is likely part one of two California homeowners. Weâve taken an active leadership role in opposing Prop 15 and there has been a steady decline in vote in favor. Polling shows a dead heat at 46% to 46%. However if passed the measure wonât take effect until the 2022-2023 tax year and as history has shown implementation will be incredibly challenging and take years to complete. As a result, we believe any near-to mid-term impact to operating expenses will be nominal. Potential long-term impacts will depend on future asset revaluation. Given the recent reassessment age of our California portfolio, we enjoy a comparative advantage relative to competing landlords looking to preserve operating margins. San Francisco specifically faces three new ballot measures to raise additional revenue at the city and county level. The business tax overhaul to increase gross receipt taxes or Prop F will minimally impact our San Francisco portfolio. While the proposed increase to the real estate transfer tax or Prop I is significant, it is only relevant upon the disposition of an asset. So it would have limited applicability to our portfolio. Additionally, the impact is relatively insignificant when compared to the underlying value of our San Francisco asset. The business tax based on top executive compensation or Prop L does not directly impact our Companyâs taxes, but would place additional tax burden on certain San Francisco-based companies. Finally, in Seattle in July, the City Council passed the payroll tax expense, also known as the head tax with veto-proof majority vote. Even so, there is a concerted effort among the business community, including ourselves, to push for local and state solutions to the measure that maintains Seattleâs competitiveness as a business destination. And now Iâll turn the call over to Alex.
Alex Vouvalides: Thanks, Mark. We remain fortunate our markets entered the pandemic on very strong footing. Despite negative net absorption in almost every submarket in the third quarter vacancy remains in the single digits where in some cases itâs just over 10%. Thus far we are seeing minimal deterioration on rent, both more broadly in the market and within our own portfolio. Sublease space is on the rise in several of our markets, but the numbers tell a complex story, including the fact that some of the larger subleases were pre-COVID offering. Our stabilized and in-service office portfolios remain well leased at 94.5% and 93.5% respectively. We had a notable sequential uptick in leasing activity quarter-over-quarter signing nearly 185,000 square feet of new and renewal deals despite many tenants on pause and our very limited near-term expiration. This included a 42,000 square feet expansion lease with Google at Rincon Center in San Francisco. That fields the positive sign for how companies are thinking about office space, even when pursuing both in-person and remote work flexibility. Once again we achieved robust 41% GAAP and 29% cash rent spread. Only about 20% of our activity this quarter involved shorter-term extension, that is with a term of 12 months or less. Even excluding those deals, which typically entail a rent premium, our mark-to-market was still up pre-COVID levels, 38% on a GAAP basis and 25% on a cash basis. Weâre seeing renewed tenant activity in our leasing pipeline, increased 40% quarter-over-quarter to 960,000 square feet. Thatâs fully in line with third quarter 2019 and now less than 10% of those deals were on hold. Our remaining expirations for 2020 equate to about 2% of our ABR and we have coverage on about 45% of those deals. Our 2021 expirations, for which we have about 40% coverage, equate to about 11% of our ABR. Our mark-to-market on in-place leases remains about 14%. So we still have some cushion even with continued pressure on rent. We hit several major milestones within our development pipeline over the last four months. Harlow received certificate of occupancy, we topped off structural steel at One Westside, which remains on budget and on track to deliver in the first quarter 2022 and we received unanimous approval to build another nearly 480,000 square feet at Sunset Gower. We alongside our partner Blackstone can now commence pre-leasing effort. We fully intend to replicate our success at Sunset Bronson and will revitalize this historic lot when the time is right. Now more than 50% of our 2.7 million square foot pipeline of future development project, which contains some of the best sites in the countryâs best office market is fully entitled and weâll be ready to build as we emerge from the current crisis. In terms of new acquisitions, over the last quarter weâve been primarily focused on growing our studio platform with Blackstone in Los Angeles, New York, London, Toronto and Vancouver. Weâre looking at both development and redevelopment opportunities. For straight-up office deal flow remains slow. Theyâre virtually value add or opportunistic deals with near-term lease-up risk. The bid-asks are too far apart and there isnât any to get in the market. Weâre instead evaluating best-in-class properties where the rent roll is made up of long-term credit tenancy. Deal pricing is sometimes at or above pre-COVID level, but with our strong liquidity position, weâre actively looking to redeploy capital, scale and generate attractive risk-adjusted returns. And now Iâll turn the call over to Harout.
Harout Diramerian: Thanks, Alex. In the third quarter, we generated FFO excluding specified items of $0.43 per diluted share compared to $0.51 per diluted share a year ago. Third quarter specified items in 2020 consisted of transaction related expenses of $0.2 million or $0.00 per diluted share and onetime debt extinguishment costs of $2.7 million or $0.02 per diluted share compared to transaction-related expenses of $0.3 million, or $0.00 per diluted share. The sale of a 49% stake in our Hollywood Media Portfolio, lower parking revenue stemming from COVID-19 impacted occupancy, reserves against uncollected rents and lower service and other revenue at our studios largely offset gains associated with lease commencements at EPIC, Fourth & Traction, Foothill Research Center and 1455 Market drive the year-over-year decrease. Third quarter 2020 FFO excluded specified items, includes approximately $0.02 per diluted share of revenues against uncollected cash rents and approximately $0.02 per diluted share of charges to revenue related to reserves against straight-line rent receivables. This resulted in a total negative impact of third quarter 2020 FFO of approximately $0.04 per diluted share some or all of which may be ultimately collected. Third quarter 2020 FFO also reflects approximately $0.03 per diluted share decrease in parking revenue some or all of which will resume with tenant reintegration. Simultaneous with closing our JV with Blackstone, the partnership closed a $900 million mortgage loan secured by the property â by the portfolio with an initial two-year term and annual interest rate of LIBOR plus 2.15%. We received $1.2 billion of gross proceeds and used approximately $849.5 million to fully repay our unsecured revolver, our Met Park North loan and term loans B and D. We also repurchased â we also purchased $107.8 million of the loan secured in Hollywood Media Portfolio which bears interest at a weighted average annual rate of LIBOR plus 3.31%. In addition, we repurchased 1.2 million shares of common stock at an average price of $22.57 per share. To date, we repurchased a combined 2.6 million shares of common stock at an average price of $23.89 per share under our $250 million share repurchase plan. We now have $1.3 billion in liquidity, consisting of $365.3 million of cash and cash equivalent, $600 million of capacity on our unsecured revolver and $339.5 million of capacity on our One Westside construction loan. We have no maturities until 2022 and a weighted average term of maturity of 6.1 years. Thus we have ample capital to manage our properties, complete our development projects and ultimately pursue new opportunities. Before turning to guidance, Iâd like to highlight a very positive emerging trend relating to our AFFO. Despite a $12.7 million decline in FFO quarter-over-quarter resulting from the temporary impact of our Hollywood Media Portfolio JV, we actually generated a modest increase in AFFO for that same period. This reflects a combination of normalizing leasing costs along with the transaction â transition from non-cash revenue to cash rent commencements following the burn off of free rent under significant leases as indicated by the $9.1 million drop compared to last quarter. Whatâs more striking is the increase in year-to-date AFFO which is over 45% higher than AFFO in the prior year. To emphasize this trend occurred in spite of temporary impact of our latest JV due to significant lower leasing costs and transition to cash rent commencement. It is an important milestone, which weâve often noted in connection with prior period leasing activity. On May 5th, we withdrew our previous 2020 earnings guidance due to the uncertainty around business disruptions related to the COVID-19 pandemic. Given these uncertainties â given these uncertainties persist, we have not reinstated guidance for the balance of the year. We are, however, once again providing following details in lieu of formal guidance. Weâve based this information on what we know today to help you assess our potential earning result for fourth quarter 2020. Due to the continued impact of COVID-19, we expect our fourth quarter 2020 operations to be similar to that of the third quarter 2020. That said, for the fourth quarter compared to the third quarter, office NOI is expected to increase approximately 1.5% and media NOI is expected to increase approximately 5.5%. Third quarter operating results include the impact of the new Hollywood Media Portfolio JV for two months, whereas the fourth quarter will fully reflect this transaction. After adjusting for one-time debt extinguishment fees in the third quarter, we expect interest expense to be approximately 4% higher, reflecting the full quarter impact of interest relating to the new Hollywood Media Portfolio loan. We also anticipate an increase to FFO attributable to non-controlling interest of approximately 20% compared to the third quarter. And now Iâll turn the call back to Victor.
Victor Coleman: Thanks, Harout, Mark, Alex and Laura. Iâm going to close by saying this. We do not take lightly any of the hurdles that California is placing or proposing to place on its businesses and all of its residents. In many ways, and Iâve said this before, this unfortunately is nothing new. And while weâre optimistic Californians we will thrive in spite of these obstacles, as we have for years. We plan to do everything in our power to help California continue to lead to be a great place to do business, a great place to raise a family and simply a great place to live. And again I want to express my appreciation to the entire Hudson Pacific team for all their hard work and dedication. And thanks for everybody here listening today. We appreciate your continued support. Stay healthy and safe and we look forward to updating you next quarter. And, operator, with that, letâs open the line up for any questions that are applicable.
Operator: Thank you.  Our first question has come from the line of Alexander Goldfarb with Piper Sandler. Please proceed with your question.
Alexander Goldfarb: Hey. Good morning out there. Just been a long earnings week. So, two questions. First, if you could just give a little bit more color, the stock buyback, good thing. Obviously, the stock is incredibly depressed, but your stocks trading at an implied 8% and you guys bought a piece of the media loan that was at 3.3%. So if you could just walk through that, because it would have â it would seem like that that capital would have been better used to buy back your stock at a higher yield. So just want to hear more about how you guys viewed the transaction.
Victor Coleman: Yes. Alex, hey, itâs Victor. Thanks for the question. So, Alex, youâve personally asked this several times and the answer has been the same. First of all, it was a â it was a LIBOR plus 3.3%. And yes, it is a far cry from an implied 8%, even though today stocks were probably trading at a forward-looking implied 10.5%. So the answer to your question is we will always buy back our stock at these levels. We couldnât buyback our stock during that transaction because we were closed out initially, as we are right now. But as of Wednesday, we will start buying back our stock at these levels and continue to do so. But as Iâve said countless times before, weâre not going to look to miss out on opportunities. We have â fortunately in a very, very nice situation with capital thatâs accessible for us to invest in multiple factors, stock being one and asset being another. Specific to this, we just know that the credit being that itâs Blackstone and ourselves and the opportunity on there was a mess, we could take it ourselves and have this as an opportunity to park this for a period of time, since we had a need for capital to be invested and we had nothing else at the time to be invested. Thatâs what we chose to do. And it was a small amount.
Mark Lammas: Yes. I would just add, the $900 million loan on the $1.650 billion is 55% leverage, the purchase of the $107.8 million not only did it allow us to delever to effectively 40%, which is much closer to our target leverage, but we delevered purchased at LIBOR plus 3.31%, which is significantly higher own class of debt. So, if we want to relever, we can relever much cheaper than that debt. So thereâs â it makes a host of sense â I mean, thereâs a lot of reasons why it makes a lot of sense.
Alexander Goldfarb: Okay. And then the second question, Victor, and youâll love it because Iâm playing the typical sell side analyst, which is on one side, I hate something, on the other side I like something. So there was a recent Silvercup trade here in New York that I think created sort of low five and it would seem like these transactions, these studios are a rare breed. They come up every now and then. Itâs like buying sort of a Ferrari GTO from the 1960s. There are not a lot of them, when they come up they command big money. Low 5 has been still pretty cheap for an asset that â itâs hard to replicate, very few of them around. Obviously, right now your cost of capital isnât great. The Blackstone JV makes it better. But what are your views on where cap rates for studios are going and why they shouldnât continue to go lower in which case the low-fives for silver cup end up looking cheap. Just some color on â your thoughts on these trades?
Victor Coleman: Yes, sure. You want to get that call?
Alexander Goldfarb: No, itâs from Washington, D.C.
Victor Coleman: Iâm just kidding. So no, listen, I think cap rates are definitely going to be compressed in that field. There are a lot of eyeballs on it. The competition I think has obviously increased. That asset is a great asset. Itâs an asset that we did play in the field of trying to purchase. We didnât at the time and the sole reason we didnât become more aggressive is because we were in the middle of our process with our JV with Blackstone. And so timing just didnât work. Those assets are still going to be sought after. Hudson and Blackstone in our venture are going to continue to expand that platform. Weâve talked about it. We have several deals that weâre looking at right now and weâre going to continue to be aggressive on that. And I think youâre absolutely right. I think those kind of cap rates are good cap rates and the market is even going to get tighter on this stuff, because there is very few of them out there.
Alexander Goldfarb: Okay. Thank you, Victor.
Victor Coleman: You got it.
Operator: Thank you. Our next question is coming from the line of Dave Rodgers with Baird. Please proceed with your question.
Dave Rodgers: Yes. Good morning out there and good afternoon, everyone. I guess I heard it in Alexâs comments that maybe you guys are really focused on core transaction today. And I guess I just wanted to verify the thought process around that. And additionally where youâre comfortable buying assets? Obviously a lot of changes in the market today, quite a bit also on the legislative front. I mean, are you comfortable buying core assets in San Francisco proper today? Whatâs your thought process around that, Victor?
Victor Coleman: Itâs a good question. Listen, core assets for long-term cash flow stability is something that we will look at and tenant quality, geographic location, economies of scale, our cost of capital, our JV partners â if we were to look at with a JV partner, their cost of capital, all those factors, David, are going to come into play. Listen, are you asking me directly are we going to buy an asset today in San Francisco, I would say the answer is probably not. Thatâs not a marketplace that we are comfortable at this level. As Alex said in his remarks, right now weâre not seeing the spread for buying value-add assets in any of our markets to speak of. They are still priced at levels that I think we believe are too high. Given the lease-up activity in our markets is a lot slower than it was last 12 months ago, clearly. So, but there is always going to be unique opportunities and synergies that we have to take into account. And we like â we have in various different times in our lives, as Hudson for the last, what, 14 years have looked at various times in the cycle and capitalized on it. And they already say that weâve made some mistakes, but not a lot. And so weâre going to continue with the same premise moving forward.
Dave Rodgers: I think you also made a comment â maybe it was Alex that made it on the 40% or might be Mark 40% coverage on the 2021 lease expirations, 14% mark to market on that. Is it much harder to have those conversations today if you donât have a first-half maturity? So do you have good visibility on the tenants that want to remain in place or those that might be peeling out next year? And Iâm thinking probably some of the smaller tenants versus larger tenants and do you have anything that you can share on that?
Harout Diramerian: Sure. This is Harout. As we said, as we said, we have a pretty good handle so far on the 2021 expirations. If you recall, two of those tenants make up 25% of the $1.5 million and weâre in discussions with them and moving those along. So, yes, I mean we do. The rest of them are, it drops down to about 40,000 feet at that point and then we are in active negotiations with a couple of those tenants. So, yes, we feel pretty good about where we sit and the mark-to-market is going to be very strong.
Dave Rodgers: Last maybe on co-working, you guys have addressed the WeWork in some of the leases there in earlier quarters. I know Regis has filed the bankruptcies and there has been some articles in the press about you guys in San Francisco and others. I guess the question is, do you feel like youâre making any progress with some of those transactions and ultimately do you feel like youâre appropriately reserved at this point for some of those flexible negotiations that youâre having?
Mark Lammas: Yes, this is Mark. Yes, we are definitely appropriately reserved. Everyone of our co-working location with the exception of Shack 15, which is a relatively small location and Maxwell, the WeWork â one of five WeWork locations where we did â we switched to a percentage rent deal, theyâre all current. We are working on a little bit of an adjustment on Regis for some of the footage up in Seattle that they will pay, in effect, 100% of the rents on the 450 and give us some of the footage back at 95 Jackson. We think thatâs a real opportunity to dwell those out and it kind of allows us to recapture space. So thatâs contiguous. And so the overall picture is very healthy, actually on the co-working side with just a couple of adjustments that I just outlined and we are fully reserved against all of that.
Dave Rodgers: Appreciate all the color from everyone. Thanks.
Operator: Thank you. Our next question comes from the line of Jamie Feldman with Bank of America Merrill Lynch. Please proceed with your question.
Jamie Feldman: Great. Thank you. I want to get an update on your thoughts on just the relative demand across the Bay Area submarkets. Are you seeing any trend in Silicon Valley versus Peninsula versus CBD? Just as your leasing pipeline starts to pick up a little bit more?
Victor Coleman: Sure. I think itâs interesting. So the pipeline has picked up quarter-over-quarter kind of back to early â early year pipeline levels. Chiefly there is some â believe it or not, thereâs some expansions in there, there is tenants who have taken the finger off the pause button to reengage and some of these are early 2021 now coming back and engaging with a plan. So thatâs the reason for the increase in the pipeline. Relative to the markets I would say Peninsula and Silicon Valley are stronger than the city. The city, I think the active requirements has dropped from levels of about 6 million square feet to about 2.8 million square feet. So that is to say that there is still activity out there. But all that activity is on the sidelines. I feel encouraged going forward as people get clarity, tenants get clarity on how they can utilize space and when theyâre going to utilize space that some of that is going to stick. And again, thatâs very encouraging to me as weâre seeing â weâll start to see more and more demand.
Jamie Feldman: Okay. And then in terms of a shift like maybe more of a focus on suburban satellites or hub-and-spoke any of these things â heard about in the last couple of months. Do you see â doing that?
Victor Coleman: Listen, itâs not that we are not seeing that. We just donât have the space in either area that people are seeing some massive shift one way or the other. We just did our Google deal with Citi. It wasnât like you were seeing itâs going to go into city, theyâre going to go in the valley. They have different requirements for each marketplace. We donât have a lot of space in the city that weâre going to be comparing to people say, no, weâre going to go here or there. I think it is as it has been in every different types of cycle when people said the valleys being crushed and the Cities doing great. There is demand for whatever those markets are that weâre seeing. Weâre not seeing a massive exodus to the city to say we are going into the valley and now like we did before. And so at the end of the day itâs been constant, clearly as Harout said, we have a lot more activity in the valley right now. And people are more interested in trying to make deals in a much more expedited manner.
Alex Vouvalides: Jamie, itâs. Alex, just to add on what Victor said, I think the West Coast is slightly different than maybe what youâd see in New York, where there is a high reliance on public transportation. This idea has maybe spread out geographically. We were already doing that. If you think about our markets whether itâs Seattle and then Belvieu in the East side, if you think about the tech companies that were both in the city and had their footprint down all the way to San Jose and then LA in particular as you know is a relatively sprawling city. So, I think that trend has already existed in our market pre-pandemic. And so weâre not seeing any further shift to say, hey, weâre going to pull out of one specific area and continue to spread. I think a lot of the companies that were driving growth in the markets were already pretty well spread out throughout the West Coast and the markets that we are in.
Jamie Feldman: Okay. Thatâs helpful. And then I thought the VC numbers you shared were pretty impressive. Any thoughts on how that translates into demand and whatâs the market that might help?
Victor Coleman: Well, listen, we canât quantify that demand, but obviously the capital is there. Itâs going to get you, as I said in my prepared remarks, from anything from stabilized companies who want to go public to our new range of unicorn. So space is going to get absorbed based on the growth prospects of those companies. But then again there is a lot of talk around some of the VC companies investing in tech or all the other ancillary businesses around tech, which is the highest demand clearly, but they may not only invest in companies that are going to stay here in California. They are looking at all markets obviously given whatâs going on and I think after we sort of settle out in the next few weeks post election and see where things are going to shake out at the beginning of the year weâll get much clear of a picture of companies growing and surviving in California.
Jamie Feldman: Okay. Thanks. And can you talk about the leasing prospects at Harlow? I know you got your Certificate of Occupancy buildings.
Alex Vouvalides: I think for a project like that itâs a fantastic project. Right now as tours are still limited, people still not in the existing footprint. we view that as a project thatâs by growth for a tenant. And I think until we get tenants back into the space that they lease as youâre seeing a lot of the deals getting done tend to be renewals right now versus new deals and expansion. So, we love the project. We think itâs fantastic project. We now have our CFO. So everything is ready to go, but I think weâre being patient because of the current situation.
Jamie Feldman: Okay. And then last from me. Interesting point on AFFO pop in the third quarter and over 2019. How are you guys thinking about the dividend and having to raise it at some point?
Victor Coleman: Yes, I mean, weâve talked about that, where Mark can get into details, but clearly this is a signal of whatâs to come, which weâve been talking about, I mean with our collections, the way they are at right now, which has been consistent since March at 95% the obviously impact on this is going to be dividend is going to increase. And weâve always said, itâs going to probably increase sometime in 2021 or maybe early or maybe middle of. But I mean Mark is pretty confident given that the FFO impact is something and thanks for picking that up. Mark do you want to comment?
Mark Lammas: No, Iâm glad that you appreciated the commentary. I mean, weâve been foreshadowing this for quite a long time. And if we look ahead, we think this third quarter result will carry forward pretty dependably and as Victor said we will be monitoring the dividend. We have good coverage now at the $0.25 a quarter and we will be monitoring and look for the next opportunity where it clearly makes sense to make a bob.
Jamie Feldman: Okay. Thank you.
Victor Coleman: Thanks, Jamie.
Operator: Thank you. Our next question is coming from the line of Manny Korchman with Citi. Please proceed with your question.
Manny Korchman: Hey. Good afternoon, everyone. Victor, I mean you started off the call on a really positive note and fundamentals arenât necessarily reflecting that. So what are you guys looking for on the ground, I think, at more positive or negative that would make the â we as investors or analysts and your stocks relatively falling?
Victor Coleman: Well, letâs talk about, so just basic fact, Manny, right. I mean, so this thing started now were going since March. Weâre now on November 1st this weekend. Weâve been consistently collecting at 95%. Weâve probably come off our occupancy levels by 1%. So what people are now sighting is the worst time in our lives after all the cycles that weâve all seen, weâre seeing our fundamentals are stable. They havenât moved, they are not like weâve seen volatility in rent collections or volatility in occupancy. The key is going to be the things that are clearly out of all of our controls and at the end of the day itâs getting kids back to school in Washington and in California, like they are in Vancouver and seeing the occupancy in the buildings go up. So, we see our â the stability of our buildings go from 15% occupancy back to some normalized number. Is work from home going to dominate? I think you already know that position and everybody is saying the same thing and whether itâs â the tech companies, the fire-related companies, the CEOs in America have said, hey, weâre going back to work just when people are comfortable. So this is a â itâs a timing game. But it shouldnât â what I guess what our sort of take is at Hudson our quality of portfolio has not changed. We have a phenomenal quality of assets and weâve got stable playing very, very high quality tenants. So why are our values, trading at 11 caps when private markets are buying stuff at fours and fives or threes, fours and fives, right. I mean, so there is such a massive disconnect and I do think that people inherently are using the tone of saying office has changed forever, never going to change forever. Things always revert back. It may look a little different and maybe itâs a four-day work-week, but doesnât mean weâre not seen any impact on the ground by any of our major tenants that said, we want to give back space or weâre looking to reconfigure our space so we have less space for the same amount of people or all the sort of synapse that people are feeling and hearing in the market today. So, I think that part of the positive attributes is just how we see it from our position at the end of day now. Now also we donât have an issue â Iâm sorry, we donât want to sort of paint a brush around the issue of the political environment, and Iâm not talking about the federal environment, Iâm talking about the California environment. We have some major issues in this state that weâre going to have to tackle. But itâs not going to be a process by which youâre going to see a mass exit out of California. California is California by itself. And if you listen to our calls for the last 10 years, weâve talked about the same way. People are here for a reason and theyâre going to stay here for the reason. And so weâre optimistic that this is going to pass and it will be adjusted. I think thatâs where the tone is from our standpoint, Manny, from the ground that we look at it from.
Manny Korchman: Thanks for that, Victor. And Harout thanks for the pieces of guidance going forward here. I was a little bit surprised the studio income wouldnât recover faster now that things are shooting. Is that just a magnitude issue and people arenât paying those ancillary fees because sort of just the scale of the shooting isnât there. Is there something else that I am not looking at?
Harout Diramerian: Let me jump in before Mark is going to talk about some of the facts around it. First of all the shooting just started. It prepped in late August that means that the stages were being built, people were getting back, protocols are being put in place and it was slower than we anticipated. Letâs be candid, and I mentioned that in my prepared remarks, I mean the unions and the PPE agreeing to getting people back to work has been a lot slower, but now they are up and running and so weâre 95% active in our portfolio right now in terms of the studios. So youâre going to see a massive uptake in the ancillary revenue that they werenât paying before. Mark, you can get into it.
Mark Lammas: Yes. Yes, I mean it did on â from Q2 to Q3 the ancillary did tick up a decent amount. It didnât get quite to Q1 levels, but if our own projections hold Q4 ancillary should be almost to Q1 levels. So that will be a pretty significant uptick from Q3 to Q4, which is a reflection of exactly what Victor is mentioning, namely the ramp-up that was starting to occur through Q3 and then it will really take all the Q4. And then as we â we will see in 2021 that that ramping-up continues beyond Q4 and we get to pretty significant levels â normalized levels in Q1, Q2, Q3, Q4. I would say the ancillary revenues looking forward would be even stronger than say 2019 levels, but weâve got a little bit of uncertainty around control rooms because these live audience shows were not â itâs not clear yet whether or not weâre going to get as much control room revenue. And that does affect a handful of stages. That said, all the other stages are expected to be as busy as theyâve ever been looking ahead and weâll start seeing the real impact of that in Q4. And then, Manny, Iâm sure you can see it but base rent â rental revenue has held steady throughout the pandemic. I mean, we really saw no deterioration on that one.
Michael Bilerman: Hey, Victor. Itâs Michael Bilerman here with Manny. Just coming back to your commentary that things always revert back, you look at the retail, the mall business and that certainly hasnât reverted back and I can remember so many conference calls of mall landlords saying that e-commerce and technology wasnât an issue. You think about what type of doing. Would that be wouldn't happen for you if the mall industry didnât change. So, what gives you the confidence that we are not â that office wonât become the next mall business?
Victor Coleman: Hey, listen I canât prognosticate what will or wonât happen. I can only say what weâre seeing specifically with our tenants then the conversations weâre having internally with our own employees. Whatever this change has been, the impact has been to-date will be a young personâs change. And so the young people here are going to make the movement to make a decision to interact, socialize, be onboarded, learn how to move up the corporate ladders and strategies in companies. Clearly, there are going to be aspects of office businesses that donât need to be in offices. But when youâre talking about creating value and working together and getting educated in building a platform everything that technology and media entertainment has built for the last, whatever 12 years since the inception of the growth of the Amazons, the Googles, the Facebooks, the Apples of the world, has been predicated on that. So why would we all of a sudden say or even assume to say that socialization is not going to be important therefore people can work from home. Itâs not retail. Retail is a choice. People in this country are unfortunately not going have a choice whether theyâre going to have to work or not. People have to go to work to end up putting food in the table and providing a livelihood for their families and growing the economy. And so thatâs going to be around the office. And I think, personally there are a lot of CEOs in this country who politically today cannot make those statements because itâs not â the time is not right. We are not out of the woods on COVID and people are still concerned about their health and welfare of themselves and their employees as they should be. But when that shifts, that shift is going to happen and people will end up going back to some level of normality and whatever that level of normality is, where itâs three days a week or four days a week, people â young people want to go to work and they want to socialize and interact. And thatâs how we look at it and thatâs what weâre hearing from our tenants. Theyâre all saying the same thing.
Michael Bilerman: Yes. Well, weâve been back for the last three to four weeks and it has been a pleasure to be back together as a team and as colleagues after 6.5, seven months of being apart. So I agree with you on that part for sure.
Victor Coleman: Thank you.
Michael Bilerman: Thanks.
Operator: Thank you. Our next questions come from the line of Craig Mailman with KeyBanc Capital Markets. Please proceed with your question.
Craig Mailman: Hey, guys. Just curious here. It sounds like kind of the mark to markets are holding. Iâm just curious, besides some base rents what your projection for net effect is given just kind of where concessions and CapEx are trending?
Harout Diramerian: Yes. Greg this is Harout. I would say the deals that weâve closed, granted our deal velocity is down but concessions are holding, weâre not giving any more free rents. There is not more tenant improvements on any package on our rents. Our take rents are at or a little bit above underwriting. And so this is kind of got over the last seven, eight months. And our face â our ask rates are flat. A lot of these deals have been in the pipeline for some time. Theyâve had every opportunity to erode. They havenât. And so Iâm only speaking to deals that actually have been done in our portfolio. So we feel encouraged by that.
Craig Mailman: Okay. Thatâs helpful. Then, you guys have some of the sublease space available there just to go with Uber. Just kind of curious, thatâs a shorter term left on it as you talk to them or hear about the demand for that, how is that kind of going relative and how could that impact the rents, the competitive rents here for San Francisco within your portfolio, if at all?
Victor Coleman: Craig, so first of all, itâs 2025. So itâs not short term and we still have four more years, a little more than four more years on that space. Itâs great space and itâs open floor plans and thereâs lots of excess space for employees and growth. Remember that space has been on the market pre-COVID. I mean that was the space that they looked at. There is a lot of decisions that Uber is going to be making about moving into their new space or if they even move to the new space where we sit with that. I donât think our space is going to dictate values in the marketplace because itâs way below market in terms of where even if you want to go obviously below COVID â pre-COVID times its way below but even currently compared to the deal we just did with Google, itâs massive. Right, Harout?
Harout Diramerian: Yes.
Craig Mailman: Okay. And then just last one for me. You guys talked a little about buying assets here, I know the time may not be right, but assuming perhaps your stock price isnât back to a level that makes it interesting to use as a currency and also doesnât compare well to market cap rates and debt is still extremely cheap and the fact you guys have a decent amount of cash flow coming on the next couple of years, I mean, would you look to just use more leverage in the near term and then hopefully delever over time as that future cash flow comes on? Is that a consideration in order to just kind of choose yields in the near term?
Victor Coleman: Thatâs never been our model. There are instances where inviting a little bit more leverage say in a JV contract makes sense. But weâre not going to sort of stray from our discipline in terms of balance sheet management just to try to temporarily choose yields.
Craig Mailman: Okay. Thank you.
Operator: Thank you. Our next questions come from the line of Nick Yulico of Scotiabank. Please proceed with your question.
Nick Yulico: Thank you. I just had a question on â on Page 15 of the supplemental you give that stat on the ending leased percentage in the same-store office pool and it was down 280 basis points year-over-year. Can you just talk a little bit about whatâs driving that and how much of that is a function of not doing as much lease up â lease up of existing vacancy versus maybe are you experiencing a lower-than-normal retention rate on renewals?
Victor Coleman: Well, Nick I wish there were just one easy answer but I literally wrote, I donât know, six different contributors that account for that starting with Ferry. Whatâs being semantically is that weâve seen retail â a decent amount of retail move-outs. We saw it at Ferry, we saw at 6922, we saw GSA move out at Rincon Center and some retail move-outs there. So there is no one sort of stand-out reason for it is. It is some combination of just relatively small tenants but nevertheless a combination of them and then retail move-outs that is really that driver of that period over period these percentage declines.
Nick Yulico: Okay. Thanks. I guess Iâm wondering based on the visibility you have right now in terms of new leasing that could happen thatâs in the works, expirations that are coming up where you have some visibility on renewing a tenant, I mean is that a number thatâs going to stay under pressure just because mathematically youâre facing a lot of expirations and new leasing is subdued because of COVID or other reason?
Harout Diramerian: Yes. Nick, itâs Harout. You are right. So actual lease velocity is down everywhere. So predicated on the lease velocity, weâve been always doing a good job of backfilling and leasing our vacancy and so â though still some of these deals are still in the pipeline, weâre encouraged by that. Itâs a matter of timing and getting them through â getting the tenants to feel more comfortable about decision making on how they are going to use their space and when they are going to use their space. So do we â if we had nothing in the pipeline, Iâd say yes, shucks, I donât know when. But itâs really getting these things â these deals through which weâre doing a good job of kind of marshaling all of our efforts to get them through. So we feel encouraged about the backfill and the lease-up kind of going into 2021.
Nick Yulico: Okay. And then. Thatâs helpful. And then I guess I just want to be clear on when you talk about 40% of next yearâs expiration having coverage. Does that mean you actually have a lease in place right now or are you just confident that youâre going to get it done? And then, I guess Iâm wondering as well is that number also applied to the next several quarters? I mean you have about 2% of your portfolio expiring every quarter over the next three, four quarters whether itâs 40% for the next couple of quarters or is the number higher for the next couple of questions?
Victor Coleman: Yes. Nick, if I kind of look at the year and that 40% represents the deals we have in negotiation and some of them are â a small percentage of those are completed already, but itâs really the totality of renewed and in well under negotiation. So we feel like we have a pretty good handle on it. And a lot of those tenants are â I mean, I think the average tenant size once you drop down is about 6,000 to 7,000 square feet. And so a lot of these tenants, especially now with no clarity on how they can utilize their space and when that window is very, very, very small before they would be discussing renewal nine to 12 months out. Even small guys now thatâs shrunk to anywhere from three to kind of three, six months.
Nick Yulico: Okay. Thanks, everyone.
Operator: Thank you. Our next questions come from the line of Omotayo Okusanya of Mizuho. Please proceed with your question.
Omotayo Okusanya: Hi. Yes, good afternoon, everyone. So, the comment that was made about the accelerated AFFO growth in third quarter and then just I think you said couple of financings to come. Could you just help us think a little bit through 2021 and maybe any big kind of like free rent burn-off or things like that that we should be aware of as weâre kind of started â trying to starting to figure out to 2021 what AFFO per share growth would look like?
Victor Coleman: Yes, I mean itâs sort of getting ahead of 2021 guidance to get too granular about what exactly it looks like. Although I would say in preparing the commentary Harout and I did sit with the model to sort of reassure ourselves that this trend both sequential that is to say from, say, Q2 to Q3 and looking ahead into Q4 and beyond, is sustainable for the reasons we outlined in the prepared remarks, that is to say, the shift from free rent to cash paying rent this sort of normalization on recurring CapEx being the key drivers of that. So, it does appear that this is â we have reached the turning point that weâve been long foreshadowing. Offhand, and Harout I donât know if anything comes to mind, again I cannot think of vast significant leases weâve experienced in 2020 shifting from free rent to cash paying rent. There is always some amount of it, but I think we witnessed a lot of it in half of 2020 with the likes of EPIC and our artistic and so forth. I donât know that 2021 has that dynamic. But I do think it will benefit from the full-year of cash paying rent on all of those tenants as opposed to partial here.
Harout Diramerian: Whatâs happening is the free rent portion is coming together for us. Obviously, if there is a large deal that we signed itâs going to be a leasing cost associated with that. But as we look out based up on our current portfolio the free rent burn-off will continue and I think there will be ups and downs, depending on the quarter. But ultimately, this is a trend that we are heading to.
Omotayo Okusanya: Good. Okay. Thatâs helpful. Thank you.
Victor Coleman: Thank you.
Operator: Thank you. Our next questions come from the line of Rich Anderson with SMBC. Please proceed with your question.
Rich Anderson: Thanks. And just on the work from home. I agree with you. I mean if the young person is sitting in the interview chair says I want to work from home four days a week and the other equally qualified says, I mean every day, who is going to get that job? So I think youâre spot on with that, Victor. I mean someone of my age probably could have some of that flexibility, but younger generations are probably going to be led by the market. And the market is going to be back to work, in my opinion. I just wanted to kind of say that.
Victor Coleman: Thank you.
Rich Anderson: All of my questions have been asked and answered, except for one and thatâs on the buyback. You said youâre going to be back to the market on Wednesday, maybe youâre saying that tongue in cheek maybe that was legitimate.
Victor Coleman: No, no, no. Thatâs not tongue in cheek. Weâre really going back to the market this week. But obviously we are locked out until through end of business two days. So we will be back in the market Wednesday.
Rich Anderson: Okay. My question is, so I have a little hesitation on buybacks. I donât know how often they really work mainly because you canât really see the accretion particularly these days with mix of a pandemic and no guidance, but I donât know how well they truly work. I understand them obviously buying at a 11 cap. But it does disrupt the balance sheet or has the potential to do so. So we may differ on the value of buybacks. But Iâm curious if you guys can give us a sense of what the limit â like what your limitations are on that beyond whatâs available to do in the current buyback program, like where could â where would you have to stop that in your opinion?
Victor Coleman: Richard, itâs a great question. I think you think the same way we do, which is itâs a moment in time and weâre taking advantage of the market conditions based on where our stock is being currently valued, where we know the real value is or what we perceive the value to be. And so, itâs always going to be a balance and whether itâs entering the market on a buyback basis or we â are we really look to do a tender those are going to take obviously precedence based on access to capital and use of capital and proceeds for other things. That being said, we have a $250 million approval process right now. We would go back to the Board. Rich, we could go back easily at any time and increase that. I believe weâve already purchased about â I donât know $110 million at various different levels. So we still got a little bit more room to go. So that would be the process right now is to fill out the $250 million and then look at exactly what youâre talking about. Metrics and use of proceeds and where our leverage levels are and how the balance sheet is impacted and where the stock price is. And I think that that will definitely be on the forefront of what weâre doing, given everything else weâre doing with the Company right now and other opportunities that weâre looking at. And so there is no finite number to say, hey, we need to buy X. I think itâs going to be accessed to where the markets will be pricing it at and where we think the opportunities are. But right now as we sit on October 30th and where our stock price is today, we will be buying back at least the remainder of the $140 million or so whatever Mark says we have going forward.
Rich Anderson: Okay, good. Stock is going up, just as you said that. So, there you go.
Victor Coleman: Still buying back.
Rich Anderson: All right. Thanks very much.
Victor Coleman: Thanks. Have a good weekend. Thank you everybody. I know weâve run over time. So I apologize if weâve not let anybody ask questions, but unfortunately itâs been a long quarter and a lot of time we tried to in tune as to only 12 oâclock West Coast time. So, I want to thank everybody for participating. And again, I want to thank the entire Hudson team who continue to excel during these challenging times. So, Iâm proud of all of you and we look forward to chatting with you all on our next quarterly call. Thanks, operator. We will disconnect now.
Operator: Thank you. This concludes todayâs conference. You may disconnect your lines at this time. Thank you for your participation. Have a great day.